Operator: Greetings, and welcome to the BGC Group First Quarter 2025 Earnings Call. At this time all participants are in a listen-only mode. [Operator Instructions] And as a reminder, this conference is being recorded. It is now my pleasure to introduce to you Jason Chryssicas, Head of Investor Relations. Thank you, Jason. You may begin.
Jason Chryssicas: Thank you, and hello, everyone. This morning, we issued BGC's first quarter 2025 financial results, which can be found at ir.bgcg.com. Any historical results provided on today's call compare only the first quarter of 2025 with the prior year period, unless otherwise specified. We will be referring to our results on a non-GAAP basis, which include the terms adjusted earnings and adjusted EBITDA. Please refer to today's investor materials on our website for additional details on our financial results and for complete and updated definitions of any non-GAAP terms, reconciliations of these items to the corresponding GAAP results and how, when and why management uses them. The outlook discussed today assumes no material acquisitions or dispositions. Our expectations are subject to change based on various macroeconomic, social, political and/or other factors. Information on this call contains forward-looking statements including, without limitation, statements about our economic outlook and business. These statements are subject to risks and uncertainties, which could cause our actual results to differ from expectations. Except as required by law, we undertake no obligation to update any forward-looking statements. For information on factors that could cause actual results to differ from forward-looking statements and a complete discussion of the risks and other factors that may impact these forward-looking statements, see our SEC filings, including, but not limited to the risk factors and disclosures within these SEC documents. And with that, I'm now happy to turn the call over to Sean Windeatt, Co-Chief Executive Officer of BGC Group.
Sean Windeatt: Thank you, Jason. Good morning, and welcome to our first quarter 2025 conference call. With me today are my fellow Co-Chief Executive Officers, John Abularrage and JP Aubin, along with our Chief Financial Officer, Jason Hauf. We delivered record quarterly revenues of more than $664 million, a 15% increase versus last year's record first quarter. Our strong results were driven by robust organic growth across both our Voice / Hybrid and Fenics businesses, which each achieved new all-time highs. FMX had its best ever quarter with record volumes and market share across both our FMX UST and FX platforms, driven by strong support from our FMX equity partners. On April 1, we completed our transformative acquisition of OTC Global Holdings that is expected to add over $400 million in annualized revenue, nearly doubling the size of our existing ECS business. This positions us as the world's largest ECS broker and makes BGC a more comprehensive and diversified company. We expect the acquisition of OTC to be immediately accretive and generate meaningful shareholder value. We're happy to welcome the entire OTC team to BGC. Our respective strengths and complementary businesses enhance our combined value, and we're excited about the benefits of integrating OTC into BGC's global platform. In the second quarter, we've continued to build on our success with global market volatility, leading to broad organic growth across our businesses. As a reminder, volatility benefits BGC by increasing secondary trading volumes as market participants seek to hedge their or risk they capitalize on price fluctuations. These activities are most efficiently executed in our wholesale markets, known for their depth and liquidity. And with that, I'd like to turn the call over to John to go over the quarterly results of the business in more detail.
John Abularrage: Thank you, Sean. It's an honor to join all of you for the first time as BGC's Co-CEO. As Sean mentioned, we registered record quarterly results, reflecting substantial growth across every region in our largest asset classes, Our rates revenue increased 14.8% to a record $200.9 million, reflecting higher volumes across all our major interest rate products. ECS revenue grew by 26.6% to a record $149.9 million, driven by strong growth across environmental and energy transition products as well as our oil and refined products. Foreign exchange revenues were up 31% to a record $110 million, reflecting broad-based growth across all FX products. Credit revenues decreased by 0.7% to $86.9 million due to lower emerging market and European credit volumes, partly offset by record portfolio match volumes and strong U.S. credit activity. Equities revenues were flat at $62.9 million as a result of higher European and U.S. equity volumes being offset by lower Asian equity derivative volumes. Data network and post-trade revenues increased by 5.2% to $32.5 million. This growth was primarily driven by Fenics Market Data and Lucera, partly offset by lower post-trade revenues due to the sale of our Capitalab business in the fourth quarter of 2024. Excluding Capitalab, revenues grew by circa 10% year-over-year. We expect growth in these businesses to accelerate throughout the year as we work through the large revenue pipelines in place. Now turning to Fenics. In the first quarter, Fenics revenues improved by 15.6% to $172.7 million. Fenics Markets reported revenues of $145.5 million, an increase of 14.2%. This growth was primarily driven by record electronic volumes across rates and foreign exchange. Fenics growth platforms grew by 23.7% to $27.1 million. This growth was primarily driven by FMX, Portfolio Match and Lucera, partly offset by the sale of Capitalab. Excluding Capitalab, Fenix Growth Platforms revenues grew by approximately 30% year-over-year. FMX UST generated record average daily volume of over $60 billion in the first quarter, a 33% increase compared to last year. This growth was driven by strong support from FMXs equity partners, which drove market share to approximately 33% for the first quarter, up from 30% last quarter and 28% a year ago. Notably, FMX daily volume exceeded $100 billion for the first time on the 28th of February 2025. FMX FX more than doubled its ADV to a record $14.5 billion in the first quarter, driven by deepening support from FMX's equity partners as well as on-boarding new participants onto the platform. FMX Futures Exchange continued to make progress connecting new large FCMs while preparing for the launch of U.S. Treasury futures, which following the extreme volatility in April is scheduled for this month. As FMX continues to integrate more FCMs, ADV and open interest on the exchange are expected to meaningfully accelerate. In periods of high volatility, liquidity typically migrates to established trading platforms and the exchanges with the deepest liquidity pools. Our successful work over the past few years to develop FMX UST into a leading treasury platform enabled us to achieve and seamlessly process record volumes during the recent periods of extreme volatility. During the first and second week of April, FMX USTs at consecutive daily records, including record daily volume of more than $142 billion on April 9, 2025. Portfolio Match ADV doubled due to strong growth across both U.S. and European credit volumes. Portfolio Match continues to capture market share in this rapidly growing segment of the credit market. Lucera, Fenics’ network business providing critical real-time trading infrastructure to the capital markets, increased its revenue by more than 15% and grew its client pipeline for sustained future growth. Lucera plans to launch new Foreign Exchange and Rates products throughout 2025, which are expected to drive new growth opportunities. I would now like to turn the call over to Jason.
Jason Hauf: Thank you, John, and hello, everyone. BGC generated first quarter revenue of $664.2 million, reflecting growth across all of our geographies. Americas revenues increased by 23.3%. Europe, Middle East and Africa revenues increased by 12.2% and Asia Pacific revenues increased by 2.4%. Turning to expenses. Compensation and employee benefits under both GAAP and for adjusted earnings increased by 17.5% versus the first quarter of 2024 due to higher commissional revenues during the period. Non-compensation expenses under GAAP and adjusted earnings increased by 5.2% and 6.6%, respectively. Moving to earnings. Our pretax adjusted earnings grew by 18.4% to $160.2 million. Post-tax adjusted earnings increased by 16.1% to $143 million and post-tax adjusted earnings per share improved by 16% to $0.29 per share. Adjusted EBITDA decreased by 4.1% to $199.8 million due to a $36.6 million mark-to-market gain in the prior period related to a firm investment. Excluding this gain from the prior period, adjusted EBITDA would have increased by 16.3%. Turning to share count. BGC's fully diluted weighted average share count for the adjusted earnings was 501.5 million shares during the period, a 1.2% increase compared to the fourth quarter of 2024 and a 1.3% increase compared to a year ago. As a reminder, we repurchased the fewest amount of shares in the first quarter due to seasonal capital requirements. In addition, we acquired OTC Global Holdings on April 1, 2025. We have significant runway under our share repurchase authorization and buybacks continue to be an integral part of our capital allocation policy. We expect our share repurchases to increase throughout the remainder of the year. As of March 31, our liquidity was $1,146.1 million compared to $897.8 million as of year-end 2024. With that, I'd like to turn the call back to Sean to go over our second quarter outlook.
Sean Windeatt: Thank you, Jason. I'm pleased to provide the following guidance for the second quarter of 2025. We expect to generate total revenues of between $715 million and $765 million as compared to $550.8 million in the second quarter of 2024, which, at the midpoint of our guidance, would represent approximately 34% revenue growth. Excluding OTC, we expect second quarter revenues to grow between 10% and 17%. We anticipate pretax adjusted earnings to be in the range of $156 million to $171 million versus $125.8 million last year, which at the midpoint of guidance would represent 30% earnings growth, and we expect our adjusted earnings tax rate to be between 10% and 12% for the full year 2025. And operator, with that, we'd like to open the call for questions.
Operator: Thank you. We will now be conducting the question-and-answer session. [Operator Instructions] And the first question comes from the line of Patrick Moley with Piper Sandler. Please proceed with your question.
Patrick Moley: Hey, good morning, guys. So I wanted to just start off talking about the FMX launch. It's been slightly delayed here. You're still planning to launch this month, though. So I was hoping you could just maybe elaborate on what's driven the delay so far? Is this entirely due to the environment and just not wanting to launch into some of the extreme volatility that we've seen? Or are there any other technological or specific onboarding issues that have contributed to the delay? And then as a second part of that, there was an article that came out yesterday citing a source from inside the LCH that said that they were maybe dealing with some settlement or delivery issues on their end. So to the extent that you're willing to address that, is there any validity to those reports? Thanks.
JP Aubin: Hello Patrick, JP here. So you're correct. The extreme volatility in April created an environment not ideal for a successful launch. But the good news is we're launching this month in May. So to come back to the article, we are aware of this article. And while we don't comment on rumors, we can say that we spoke to our – with our clearing partner, LCH. And by the way, we spoke to them every day. So we spoke to LCH as recently as last evening following the release of this article. And guess what they are ready, LCH is ready. We are ready. And we will be launching in this month's period.
Patrick Moley: Okay. Thanks for that. And then as a follow-up, one more. You closed OTC Global Holdings about a month ago. You've had a little while now to look under the hood. So I was hoping to get your updated expectations on how accretive this acquisition could be? What the revenue upside looks like in terms of cross-sells between the two customer bases? And then on the margins, it seemed like the second quarter margins were maybe a little bit softer than we were expecting. So any color you can give on kind of how you're expecting margins to trend from here would be great. Thanks.
Sean Windeatt: Yes, sure. Thanks. I mean, it's good, right. We've had a total of, I think, 37 days of owning OTC. So – but rest assured, as you know, as Patrick, we are hard at work with the integration, and we're very happy with the – what we've seen so far. I mean, look, in the implied guidance, we separated guidance out for you. So you saw at the sort of midpoint of guidance, we expect $115 million, which as you would guess, shows decent growth from the $400 million that we initially expected. Look, in terms of – and in terms of the margin itself, I think we said on the previous call that BGC as a group, has margins in excess of – pretax margins in excess of 20%, whereas when you're buying a larger company like OTC, that has smaller margins to start with. And as you can see, you can work out the implied margin from our guidance. That's why we did that work for you. But that's immediately. We've done huge amounts of small transactions and we get the economies of scale. We're also very experienced at the larger transactions, such as GFI. And what I would expect is as I said before, whilst we don't think the OTC business will get up to the BGC margins in the short-term, you will definitely see a growth in those margins by the end of year one, beginning of year two. Maybe, John, you wanted to add something in terms of the business itself and the synergy.
John Abularrage: Yes. Hey Patrick, just what I would say is what I think we said last time, we've spent a lot of time and effort mapping both front office, back office. And the best example I can give you in terms of what synergies look like. From the product side is it seems counterintuitive to broker an underlying product and ship an underlying product and not have those two connected. And so that work has already begun. The people inside OTC are fantastic. Everything we've seen is as good or better than we expected, and we expect to generate serious shareholder value in both the short-term and the long-term.
Patrick Moley: Okay, great. That's it for me. Thanks guys.
Operator: And the next question comes from the line of Eli Abboud with Bank of America. Please proceed with your question.
Eli Abboud: Good morning, everyone. Thanks for taking the question. After treasury futures, what are the next key milestones or product launches that investors should be able to look out for? When should we expect longer 10-year treasury futures and options on futures to go live?
JP Aubin: Hey Eli. JP here. Look, as you know, one is about connectivity. We in your one right? And as I mentioned previously, we are launching this month in May, our UST futures. Our bank partners, equity partners are the main users of UST futures. It's great news. We do expect their respective trading desks to become highly active on our exchange, which we drive volumes up. It's our target today. Obviously, our plan, right? As a reminder, year one connectivity, year two deepening client connectivity and increasing volumes and open interest. And year three full competition with CME. We stick to our plan. It's a three-year plan year one. And for the time being, it's matching our expectations.
Eli Abboud: Got it. Thanks. And based on the noncontrolling interest deduction, it looks like FMX still hasn't reached profitability. Can you help us quantify the cash burn related to FMX Futures? And once the futures exchange starts to breakeven, what do you think the normalized profit margins of FMX should look like?
Sean Windeatt: So obviously, we don't break out FMX independently. However, to be clear, the cash burn to BGC is zero. So part of the deal with our – with FMX's partners, we contributed the business. And they are funding, if you like, the future development of futures, how about that? So the cash burn to BGC is zero. And then in terms of profitability and where the margin will get to, I think in the short-term, we get – certainly get to breakeven and slightly beyond. And in terms of the medium to long-term, I think it's commensurate with other exchanges, which is around the 40% to 50% level.
Eli Abboud: Got it. And then just the last one for me. Do we have any additional clarity yet on the outcome for Howard shares? My math's right. I think we're getting close to the 90-day mark for divestment.
Sean Windeatt: I think all – as probably as you'd expect Eli, all you can say is that how it will comply with all the Senate Ethics Committee standards, including his – divesting his holdings. The public SEC filings will be required when he does so. And as we've previously stated, we don't expect any sales in the open market, and we expect no changes equally to the corporate structure. And on your point of math is – I would agree with you 90 days is fast approaching.
Eli Abboud: Got it. Thanks everyone.
Operator: And the next question is a follow-up from Patrick Moley with Piper Sandler. Please proceed with your question.
Patrick Moley: Yes. Thanks for taking the follow-up. So I just have two modeling items to ask about. The first is on the tax rate. It came in at 11.9% by my calculation this quarter was the highest it's been in a little while. So any color you can give on tax rate expectations going forward? And then secondly, on the acquisition of OTC Global Holdings, what should we assume in terms of the cash outlay this quarter for that acquisition? Thanks.
Sean Windeatt: Sure. So yes, look, the reason we added as we have done before in my prepared remarks, I suggested that the tax rate – our expected tax rate is between 10% and 12% for 2025. In terms of cash outlay for OTC, it was $325 million. So is now sort of fully disclosed. So that was paid on April 1.
Patrick Moley: All right, thank you.
Operator: And ladies and gentlemen, there are no further questions at this time. I would like to turn the floor back over to Mr. Windeatt for closing remarks.
Sean Windeatt: Thanks, everybody. Thanks for joining us today on our earnings call, and I just wish you all a great day and look forward to updating you again very soon. Thanks very much.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time.